Operator: Good day, ladies and gentlemen, and welcome to the Iridium Second Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will have a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference Mr. Ken Levy. Sir, you may begin.
Ken Levy: Thank you, Nova. Good morning and thanks for joining us. I'd like to welcome you to our second quarter 2015 earnings call. Joining me on this morning's call is our CEO, Matt Desch; and our CFO, Tom Fitzpatrick. Today's call will begin with a discussion of our 2015 second quarter results followed by Q&A. I trust you've had the opportunity to review our morning's release on our website in the Investor Relations section. Before I turn things over to Matt, I'd like to caution all participants that our call this morning may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are statements that are not historical facts and include statements about our future expectations, plans and prospects. Such forward-looking statements are based upon our current beliefs and expectations and are subject to risks, which could cause actual results to differ from our forward-looking statements. Such risks are more fully discussed in our filings with the Securities and Exchange Commission. Our remarks today should be considered in light of such risks. Any forward-looking statements represent our views only as of today. And while we may elect to update our forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our expectations or views change. During the call, we'll also be referring to certain non-GAAP financial disclosures. Our non-GAAP financial measures are not prepared in accordance with generally accepted accounting principles. Please refer to today's earnings release and the Investor Relations section of our website for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. With that, let me turn things over to Matt.
Matt Desch: Thanks, Ken. Good morning, everyone. I'll begin by highlighting that based on our results through the first half of the year we've updated our full year guidance for service revenue and operational EBITDA. 2015 has shaped up to be a more challenging year than we expected with a number of largely macroeconomic headwinds impacting our results. Handset sales and related usage in our voice market remained pressured by a strong dollar and weakness in the energy sector. We're also now seeing reduced oil and gas activity curb near term growth in the M2M sector. Now while we have to manage through these hurdles, let me be clear the foundation of our long-term growth trajectory remains intact. Tom will have more on these trends during his remarks. For my part, I'll focus on the dimensions of our growth profile, the status of our network, developments in our Iridium NEXT program, recent news from our Aireon joint venture and an update on our major lines of business. Before I jump to these key strategic initiatives, it is important to underscore that our investment case is long term. We expect to see a financial transformation built through 2018 with great potential for the Company in the years ahead. Simply, we see much higher operational EBITDA and much lower CapEx combining to generate significant free cash flow and ultimately meaningful value to our stakeholders. The first topic which is usually the case is the performance and the resilience of our current network. Good news once again on that front. As it has been about one year since the satellite failure and our constellation continues to perform very well. Our operations team does a great job of getting the absolute best out of our current outwork first-generation system. We expect more of the same as we soon move into the Iridium NEXT era. In regard to Iridium NEXT, we spent just over half of the approximately $3 billion total cost in the second quarter of 2015. There also continues to be a surge in the pace of development and production activity as we get ready for our first planned launch which has moved out several weeks to December of this year. I'll discuss those details more in a minute. Just a few highlights to illustrate our progress there, the platform software testing is now 100% complete and we continue to hit key milestones in testing the payload like the recently announced Compact Antenna Test Range Testing of Iridium NEXT satellites where the main mission antenna cross links and downlinks were successfully compatibility tested and operated simultaneously on full power. We've now completed voice and data calls to the flight hardware validating the compatibility and performance of the new network architecture. The first Aireon payload has been successfully integrated with the satellite platform and comprehensive ground testing is ongoing to confirm the operation opposed to payloads in rigorous environmental conditions. And the first five satellites continue to move through production and we continue to take major steps in qualifying the manufacturing process with high rate production expected later this year. As I noted, while the overall schedule remains on track for network completion in 2017, we're now targeting the initial launch to occur in December instead of October. The reason for this is that one of the subsystem suppliers for the Iridium NEXT program is reworking an important hardware component related to the Ka-band transmit-receive modules which are used by the satellite to communicate with our Gateway and with each other in our Mesh network. The reworked and retesting of that is now on a critical path ahead of the previous payload software testing in order to get to satellite readiness. As you may remember, we'll put up the first two satellites on a Dnepr rocket and will run them through a very comprehensive series of checks on orbit for about four months before we begin our primary launch services campaign with SpaceX. Regarding Dnepr, the Dnepr space head module which is the customized rocket component that holds the two satellites during launch and releases them at the appropriate time is manufactured and completing qualification testing. Kosmotras assures us they'll be ready for our launch from Yasny later this year. As for SpaceX, we continue to have great confidence in their ability to get back on track and meet our launch schedule from Vandenberg Air Force Base next year. Our confidence is bolstered by the preliminary findings SpaceX actions [ph] last week and their expectations that they will catch up on their manifest in a way that does not impact Iridium's launch schedule. Our team has been monitoring the failure review process closely and SpaceX has been very transparent, thorough and systematic in their review and is fully capable of getting back to success quickly. Our Aireon joint venture is doing great and continues to build momentum. They recently signed agreement to collaborate on the potential deployment of space-based global aviation monitoring with the air traffic management agencies of Iceland and New Zealand. These agreements add to those previously signed and expand the potential deployment of Aireon service around the world. Ultimately, Aireon is working to secure all the strategic flight corridors around the globe that will drive significant operational benefits and fuel savings for the airlines. As Aireon continues to refine its business models, the use cases for this very unique aircraft tracking technology continue to expand. Additionally revenue streams capitalize on the value of the aircraft tracking data set are becoming increasingly evident. As a result we are more confident than ever that our interest in Aireon will be a meaningful source of value creation for Iridium equity holders. On a go forward basis our annual service revenue contribution from hosted payloads will also now increase from an expanded hosting contract with Aireon and an expanded secondary payload agreement we've executed with Harris related to their recent deal with Exactor. Moving now to a quick update on our major lines of business. In our legacy telephony market a difficult foreign-exchange environment and reduced activity in the energy sector on lower oil prices is still weighing on our results. While we added 8000 subscribers during the second quarter, ARPU fell 7% year-over-year reflecting usage headwinds and currency effects. Still, with a superior network and expanding product portfolio, our competitive position remains highly defensible and we remain confident in our prospects over the long-term. Aiding that growth profile will be new products including our new commercial push-to-talk solution. This product became fully commercially available late in the second quarter and we've seen great interest from foreign governments, public safety agencies and industrial customers. As the first portable satellite PTT product on the market we see a lot of attractive use cases for this solution. Overall we expect it will add to our commercial service and equipment revenue in 2015 and beyond. In M2M results were mixed and caused us to fall below our historic double-digit run rate for service revenue growth. However, we continue to penetrate the heavy equipment OEM sector and feel very good about our progress. Earlier this year we announced that Iridium had signed a construction equipment and engine manufacturer and we're now at liberty to share the name of that company. Doosan based in Korea is an important multinational manufacturer and we are working closely with them on their next generation M2M services that will roll out later this year. Our funnel remains robust and you should still expect to hear about additional important wins in the coming quarters. The M2M competitive environment is dynamic with new challenges and opportunities. We've observed our satellite competitors reacting to our success in the M2M sector working together to try to unify their efforts in their respective M2M markets. They realigned their sales channels to sell each other's products and services, in part I think to make up for deficiencies in their networks and coverage. While we don't believe this changes the competitive landscape in any meaningful way, we're taking note as they more aggressively target certain customer segments. We haven't lost any customers as a result of this activity with, but we do expect we will need to protect some of our more mature customers operate in a more cost sensitive niches. Ultimately we believe any attrition will be limited as transition costs are high and our customers really appreciate the clear advantage that comes with low latency, a uniformed global service and small form factor antenna and devices. We still feel very good about our growth prospects in M2M and the overall growth of the satellite segment or the IOT [ph] market. In fact, there are significant new growth opportunities coming out of our legacy M2M service being sunset by a competitor. We believe iridium is in a strong position to provide an immediate alternative for Inmarsat's legacy M2M services that are going end of life. We're confident that this technology transition provides Iridium with a new opportunity to leverage our global capabilities, low latency and small form factors to pick up some of their legacy customer base. As for our broadband platform in maritime, we continue to be pleased with the quality and performance Iridium Pilot units in the field. Our partners have reengaged after seeing solid product performance and low failure rates over an extended period of time and the competitive landscape remains favorable for us to build market share as the value player. Despite outstanding progress and double-digit growth rates during the last six quarters we think 2015 service revenue will be pressured somewhat by a renegotiation of a take-or-pay contract with one of our service providers. This particular service provider had seen decreased usage from 2014 levels and found itself with excess capacity. We agreed to assist them as a long-term and important partner by deferring some 2015 payments in the future years while they seek to penetrate new fleets with Iridium OpenPort. Overall the value of this contract remains the same. Our negotiation only impacts the timing of revenue. As a result however, we expect this will cause our revenue growth from Iridium OpenPort to dip this year below the 12% mark we achieved in 2014 before bouncing back in 2015. Finally, we're excited about our expanding broadband footprint with the ongoing work of Iridium Certus Broadband. As you know we've partnered with five world-class manufacturers to develop faster user terminals for the aviation, maritime and land sectors that will take advantage of Iridium NEXT's enhanced capabilities which we expect to turn on late in 2015 even before all satellites are up. We think the industry is hungry for the reliable, low latency and high-speed L-band service that Iridium NEXT will provide, both as a standalone solution and as a service sold alongside other technologies like Ku-band VSAT. We're making great progress and we've just completed the development of our prototype transceiver. We're now supplying our partners with this core technology of Iridium Certus to support them as they continue developing their new high-speed Certus terminals from maritime, aviation threshold [ph] and government users. In closing, while we're facing a few unexpected challenges this year, our investment thesis and our view to the financial transformation that should occur in 2018 are solidly intact. The U.S. government relationship remains the foundation of our service revenue growth and Aireon is achieving its key targets. We expect to launch our first Iridium NEXT satellite before the end of the year and I'm confident that we'll clear the hurdles that have surfaced in our commercial business. Although there have been some bumps along the way we're driving forward to a period of significant free cash flow generation value creation and I look forward to updating you on our progress in October. So with that, I'll turn it over to Tom for a more detailed financial review. Tom?
Thomas Fitzpatrick: Thanks Matt and good morning everyone. I'll get started by recapping our key financial metrics for the second quarter and will then outline the changes to our 2015 and long-range outlook. I'll close by taking you through the elements of our long-term growth profile and briefly reviewing our liquidity position and balance sheet. Iridium reported second quarter total revenue of $101.9 million which was down 1% from last year's comparable quarter. Service revenue grew 2%, but this was offset by an 8% decline in equipment revenue. Operational EBITDA came in at $61 million an increase of 12% in the prior year period. Operational EBITDA benefited from higher government service revenue and lower product warranty costs. Product warranty costs were down materially from the year ago quarter as or Iridium Pilot Maritime product continues to perform very well. Our operational EBITDA margin was 60% for the second quarter up from 53% in the year ago period. From an operating viewpoint we generated commercial service revenue of $60 million in the second quarter which was unchanged versus last year. We added 16,000 net commercial customers during the quarter with the gain evenly split between commercial voice and M2M customers. Commercial M2M data subscribers now represent 49% of billable commercial subscribers, an increase from 46% during the year ago period. I'm going to dig deeper on our M2M business as there are now additional headwinds in 2015 beyond the NATO [ph] customer usage profile change we discussed earlier this year. First, one of our key service providers has significant exposure to the oil and gas market and has absorbed increase subscriber cancellations as activity has been reduced in the energy space. We now expect revenue from this partner will decline by about $1.5 million in 2015. We've also proactively adjusted pricing for this service provider to support affordability in this distressed sector which will further reduce our revenue from them by another $1.5 million in 2016. Second, our network provides the connectivity to remotely command and control the assets of a large and unique project by a major company who doesn't let us reference their involvement in the program. We saw significant airtime usage in last year's third quarter during the testing phase for this project. We now understand from our customer that this high level of activity will decline in the second half of 2015 as the service moves into another more mature development phase which will culminate in commercialization in 2016. We expected a full-year decline of $500,000 in M2M service revenue from this customer as a result of this evolution with much of that coming in the third quarter. Taking all this together, we continue to project double-digit subscriber growth this year in our M2M line of business, but expect the M2M service revenue growth will be limited to the single digit range. Turning now to the government service business, which recorded revenue of $18 million representing 13% year-over-year growth driven by fixed-price airtime services contract with the Department of Defense. Government subscribers again grew at a rapid clip posted 18% year-over-year growth. In addition, we reach a record 65,000 total U.S. government customers during the second quarter. This heightened activity bodes well for future contract renewals and clearly showcases the value of our relationship with this important customer. I'll focus next on equipment revenue which was $18.8 million for the second quarter. It declined 8% year-over-year primarily due to lower commercial handset sales. As we've shared throughout the first half of the year, the pronounced increase in the strength of the U.S. dollar continues to impact demand for our handset products and services. This effect will be partially offset by shipments of new products specifically commercial push-to-talk. While we still don’t expect equipment revenue to grow in 2015 we're seen the material improvement we forecasted versus what was the low point in the first quarter and projected the second half of 2015 will be even better than this quarter. Moving now to our 2015 and long-range financial outlook which we updated this morning. We now forecast total service revenue growth between 1% and 3%. This revised estimate considers all the developments I have just enumerated. On the same basis for the full year 2015 we expect operational EBITDA of approximately $230 million which compares to $216.5 million in 2014. By moving to the low end of our guidance range we're reflecting both the headwinds to our service revenue profile this year and the benefit of lower product warranty costs and lower other operating expenses. As far as our long-range outlook we expect total service revenue of between $420 million and $465 million for the full year 2018 which trims the high end of our previous range by $20 million in consideration of our anticipated 2015 results. With the exception of post-2018 capital expenditures which I'll update in a minute, the other elements of our long-term guidance remain unchanged. As we bridge through our growth profile for future years, there are a number of factors at play that continue to give us confidence in our forecast. We have a known $22 million increase in government service revenue when comparing 2018 to 2014 as outlined by our airtime services deal with the Department of Defense. 2015 will be 15% higher than 2014 and 2016 will be up 17% from there. Given the developments in our Aireon business over the last year, I also think it's pretty safe to say that this venture is well-capitalized and on track to launch the world's first space-based global aviation monitoring system once Iridium NEXT is completed in 2017. And as Matt noted, we've expanded our hosted payload agreements with both Aireon and Harris. When combining revenue we expect to book from hosting fees and customer data contracts, we now expect total annual service revenue from our hosted payload business to ramp to roughly $47 million in 2018 up from the $40 million we previously forecasted. We've already received $19 million in cash from the Harris contract and expect to receive the balance in the coming years. We expect meaningful contributions from new products, including commercial push-to-talk during this timeframe. Our anticipated 2016 certification for the provision of mobile satellite communications in the Global Maritime Distress and Safety System or GMDSS represents a new source of growth in our maritime business. This initiative will not only expand our market to all of the 60,000 vessels that are required to have this safety service, but would also enhance our relevance for both safety and operational communications. And the final element of growth will be the launch of enhanced broadband services or Iridium Certus Broadband as Iridium NEXT is deployed. I also want to comment on our plans for launch insurance. Due to the state of the current space insurance market we've had to change our original strategy we have placed insurance on the launches and satellites. Originally expected to place 100% of the insurance prior to first launch, but the capacity isn't there today we've now changed our strategy to a hybrid approach where we place as much as the market allows for the full complement of launches and satellites and then insured the remainder launch by launch. To date, we have bound over 60% of our insurance coverage for all eight launches upfront. The economics of these bindings are consistent with our overall cost estimate of between $100 and $125 million for insurance. We continue to bind insurance and expect that our first launch in December, its launch date and we'll bind subsequent launches as we go. Finally I'm going to close with a review of our balance sheet and liquidity position. As at the end of the second quarter we have drawn approximately $1.4 billion from the Coface facility and had cash and marketable securities balance of $476.8 million. During the second quarter, we had detailed technical development meetings with our Iridium service partners to define the specific elements of our offering. These meetings have served to further support our expectations of market opportunity. In light of this, we now believe that additional investments are appropriate in this area and are raising our estimate average annual capital expenditures in the post-2018 timeframe from $30 million to $35 million. And wrapping up my thoughts, we're working through the short-term challenges on our path to the financial transformation we believe will occur for Iridium in 2018. We are on the cusp of Iridium NEXT era and Aireon continues to add potential customers to its roster. Our commercial business is having a down year, largely due to macroeconomic factors, but the foundation is in place to achieve our long-range service revenue forecast. We look forward to updating you again in late October. With that, I'll turn things back to the operator for the Q&A portion of this morning's call.
Operator: [Operator Instructions] Our first question comes from the line of Andrew Degasperi of Macquarie Capital. Your line is open sir.
Andrew Degasperi: Thanks and good morning. I wanted to first know if you are seeing any other weakness in other sectors outside of oil and do you see some kind of trends are stabilizing at this point or should we wait a few more quarters before that turns around?
Matt Desch: Yes that's a good question. Of course our business model is indirect, so we work through our many partners who address the M2M market segments and voice and maritime segments and the space. The real significant standout has been oil and gas. It's really clear and some of our earliest and largest partners had been in that sector and so of course that has sort of a very high over majority it seems like through the overall effects that we've been seeing. There does seem to be some weakness in other sectors as well, but it's sort of hard to pin them down as exactly what those might be. They are in specific market areas. Some of our partners continue to grow and do very, very well. It is just that net-net seems to be more of the oil and gas sector than anything else right now.
Andrew Degasperi: Got it, and secondly, can you comment…
Matt Desch: Oh I'm sorry Andrew, you mentioned, I mean in terms of, you know, look nobody knows for sure it is a headwind, we think we fully accounted for it this year in terms of sort of the change in our expectations and what we're doing. What it does next year we're really not sure exactly how long it happens. I don't know what the market expectations are for that sector, but I think probably most of our partners have fully accounted for the downturn in terms of what they're telling us they think will happen. But certainly our hopes like anything else is that these headwinds will ultimately turn into tailwinds somewhere down the road. I don’t know exactly when, but I think we've accounted for it this year for the most part.
Andrew Degasperi: Got it and secondly, can you comment maybe on OneWeb [indiscernible] a few weeks ago. I just want to know what are your thoughts about it and do you think there is any chance that they might interfere with your network? Thanks.
Matt Desch: Yes, so OneWeb for those who don’t know, it is a new startup in I'd say the broadband, global broadband space. It is a very interesting venture, and is talking about $500 million sort of equity investment that really kind of kicks off that venture. It is a Ku-band system so it is not L-band and it is meant to operate with an awful lot of small satellites in lower orbit. So I think it is a very interesting venture. It is hard to really tell much about the business or the business model right now. So I can't really speculate about its potential success. I feel for them. They have a lot of challenges. We've been through all that before and I wish them well, but I think it is going to probably take them a long time to really get up there. I look at them frankly more as a potential future partner, because you know what they plan to do is not what we really plan to do with Iridium Certus Broadband. We're focused on very specific market segments, very highly oriented towards safety applications and aviation, maritime and land. We plan to be more of a complimentary technology as opposed to always being the always being the primary technology. So when they get into operation in the early 2020s as a role player, I mean there is a real potential that you could see, complimentary kind of systems it is kind of hard to have those discussions with them now because I think they are really still in building mode. But it certainly is an interesting development. I keep saying we were Leo [ph], before Leo [ph] was cool, and I think we have to kind of demonstrate really the value sort of a little latency close to the Iridium kind of system in terms of what it can perform and I think they are inspired by that and will build a kind of a potentially complimentary system in the long run before that if they are successful.
Andrew Degasperi: Great, thank you.
Matt Desch: Thanks.
Operator: Our next question comes from the line of James Breen of William Blair. Your line is open.
James Breen: Thanks, just a couple of questions. One that you talked about take-or-pay contract and more of the timing, can you just give us a little color on that is it basically implying that you are getting the revenue, you're just going to get it further down the road? And then within the M2M space can you just talk about the competition there and any progress you've made with [indiscernible]? Thanks.
Matt Desch: The competition you said in the M2M sector, have you been okay. So the first one, yes there was one of our service providers had a take-or-pay contract going out for a specific plea. As I said they had, they found themselves in a difficult position. We probably could have forced the take-or-pay on them, but I think that's really not the right thing to do from a partnership perspective long-term, particularly since we both plan to be in this industry a long time and in participation going after new business. So we did renegotiate that and just stretched the revenue out and so the revenue moves out a year or two down the road from what we had expected. So we have planned for it more in this year, some of that is coming out this year and that affects our short-term results, but long-term it is still, the contract the take-or-pay nature of it and the overall value of that contract has remained intact. On the second part in terms of the heavy equipment space, there is not a lot of change in that space. I'm pleased to see sort of characters trying to enroll the early customers. It takes time for them to build it into their systems. So these are longer than sometimes desired build ups, but the payoff long-term in terms of all the systems that will be out there using radium machine to machine are exciting. We continue to sort of expand the number of companies we're talking to. It is all moving in the right direction. I still feel like we're going to be closing some more contracts this year. Doosan is a great example as they move to their next generation system they are going to be moving with us and we're excited about that. I still think the dynamics are very much the same as they've always been and that's still kind of underpins really some of our growth in the machine- to-machine sector over the next couple of years.
James Breen: Great, thanks and then just one last one just on the launch schedule, so with the initial launch moving to December and the formal testing, will that push the first SpaceX launch into the second quarter or are you still hoping for the end of the first quarter?
Matt Desch: No it does push it to the second quarter and as I said I think they are going to be well ready for us. As I said, I think SpaceX has been very thorough. I think we agree with their initial assessment of what happened in terms of the instructed that failed and we're starting to get a sense of why that might be. I mean, I think they are not moving too fast on that. They have been extremely thorough about what they're doing and what I really liked SpaceX as a supplier they have a lot of control over their development and manufacturing processes. So when they want to fix something they can do it quite quickly because they don’t have to rely upon a real extensive development change. So they are feeling like they are going to get back to launching this fall and they'll still be a number of launches before we go in sort of the middle of the second quarter and we'll be able to get back on track quickly really to our launch schedule that completes our network in 2017.
James Breen: Great, thank you.
Operator: And our next question comes from the line of Jim McIlree of Chardan Capital. Your line is open.
Jim McIlree: Thank you and good morning. Can you talk a little bit about OpEx specifically SG&A was down quarter-to-quarter, is that a seasonal thing or is that a new level of SG&A or is that expected to rise again as revenue growth accelerates?
Thomas Fitzpatrick: Well sequentially it gets down largely on the back of lower incentives is what you're seeing in the current quarter. And as we said our guidance for the full year expects a lower level of operating expenses just as we trim and given lower service revenues.
Jim McIlree: Okay, great, and Matt can you refresh our memories on what it is you are exactly doing for Doosan?
Matt Desch: I think we've talked about having, one an equipment supplier a while ago we're just announcing their name this quarter. But yes, Doosan is a major global player in the heavy equipment space with a very broad portfolio of systems that they produce every year. They had been operating with both terrestrial and satellite components in some way in their current generation but have planned the next generation sort of evolution of that system that is more comprehensive and all-encompassing. Now they've selected us as the supplier for that system and are building this now into their platforms and when they as they get built into platforms they will rollout and provide tracking, engine monitoring, engine services, I mean maintenance and warranty monitoring, all the types of things that really the heavy equipment space wants to use IOT4 [ph].
Jim McIlree: And are you aware if you are exclusive globally or regionally or in any other sense for this operation?
Matt Desch: Yes, I know that has certain connotations to feed those words and I'd rather not try to use those at this point. And that's not the take away from the fact that you really can't very difficult to the multivendor on these things, but I do believe we will have an extremely strong position in the next session.
Jim McIlree: Great, and that's very helpful. Thank you.
Operator: And our next question comes from the line of Greg Burns of Sidoti. Your line is open. 
Greg Burns: Good morning. What is the timeframe that you expect Aireon to make their hosted payload fees, payments to your and do you think they have the necessary contracts in place to obtain funding or do you think they are going to require the FAA signing on to be able to make those payments?
Matt Desch: So Greg, the Aireon payments were expected in the second half of 2016 and 2017 and those payments anticipate the FAA signing up a contract which we believe they are on schedule to doing in 2016.
Greg Burns: Okay and the component issue that's causing this delay was that a design issue on the manufacturer's part or was there an issue with Iridium's design?
Matt Desch: No, the design is really our manufacturer's design if you will, we validate and are sure and accept it and but no it is in the design. A subsystem component which is testing fine, I mean we're getting the testing results some yield challenges to it, but really it is in our initial satellite that are on the floor and there as you can tell from our testing is working. The problem is after testing and qualification we found or they found really some rework required for a long-term robustness of those components and then of course you have to turn that back around, get them back into the test vehicles, retest them to make sure that they meet all requirements et cetera and all that is now planned, but it really does affect the critical path again and moved the path out, the weeks it took to get that work redone. So there's still a lot of other things go into parallel with that, but that really is now the critical path item versus what had previously been the payload software testing which is progressing very well and will be done on time. Just this K-band component is really sort of the gaining item now.
Greg Burns: Okay, and Tom on the insurance the 100 to 125 is that the full expense you expect or is that the 60% you've already contracted?
Thomas Fitzpatrick: The 100 to 125 was our estimate of what insurance would cost and the 60% that we bound is in line with that estimate.
Greg Burns: Okay, okay, thank you.
Operator: Our next question comes from the line of Chris Quilty of Raymond James. Your line is open.
Chris Quilty: Thanks, I just wanted to follow up on the component testing, is it fair to assume that you've done vacuum chamber and that was the only piece of hardware that showed up any issues?
Matt Desch: I don’t know if I can make that definitive statement. I mean there could have been issues in the past that were issues but they have been resolved and any rework that was necessary to something failed in qualification it has been fixed. So it is the one issue we have right now. It is the issue that's on the critical path. And frankly much of the qualification is done, it is almost complete, but there are a few still things to be done. We really have put the satellite through thermal, thermal vac, acoustic, RF range testing and all kinds of other things and this is the component, a little disappointed if not, this is not a – it is a sophisticated component, but this is not something that real invention would be required to do cave in. And I'm sure the subsystem component vendor which you can figure out who it is, is fully capable of fixing this and meeting the rework schedules that they have, but these sort of things happen and are very in a very complicated satellite design process and despite everyone's efforts including the time that was sort of budgeted define these things, things kind of happen and it has delayed our schedule somewhat. But really I'm pleased it is delay in our schedule weeks not longer period of time. There is still a lot to be done before December, but we do have a solid plan for launch in December now and feel good about the potential for that now and have a plan that closes on that at this point. So we're going to keep monitoring it very closely and ensure that the rework happens and we get launched.
Chris Quilty: Great, the current difficult environment for heavy equipment manufacturers, how does that impact your discussions with existing or potential customers, does that benefit you, because they're focusing more on efficiency or does it slow things down because of no availability of capital?
Matt Desch: I don’t think it has a lot of effect personally from my personal experiences with it because the heavy equipment sector is very long-term in their thinking. They have to make planning cycles over many, many years and so they don't, while it may impact sort of short-term decisions in terms of their product hurts things. But when you are talking about factors like moving to the Internet of Things and efficiency and providing more things to their customers they kind of seem to keep moving forward on that basis as opposed to just stopping activities. These are big companies with a lot of resources and I haven’t sensed sort of that for the near term sector by sector impacts sort of necessarily affect their long-term thinking about how we interact with them.
Chris Quilty: Okay and you announced the push-to-talk rollout last month. Can you give us a sense of what kind of impact you might expect in 2015 and how these deals will be structured, I think you indicated in the past that these tend to be large system rollouts, does that stagger the rollout impact with new customers?
Matt Desch: Yes, I mean I think the impact in 2015, I mean our expectations that was really modest right now. I mean it really is more of a 2016, 2017 opportunity for us, but we do have a significant funnel of opportunities around the world. There are opportunities here in North America, but there's a number of opportunities with both public safety militaries and others. The funnel is with a number of our distribution partners who have all been trained on how to sell the system. It is certainly a longer-term sale and you don't just provide a phone or two to somebody and it happens, really there is sale into say a public safety agency or a friendly military or whatever it might be and they really have a lot of training and testing and administration kind of stuff that they go through to deploy it. Good news is when they do it they normally are tens or hundreds of sort of devices and they are long-term kind of contracts in which they, the value is really in that work group in that, the communication amongst those devices. So you really expect to see those to be very sticky kind of long-term kind of contracts. So it's still early days, starting to ramp. I'm starting to see devices and the customers sort of declaring come on board, but I really don't think it's going to be a real rapid revenue impact for us.
Chris Quilty: And any update on Iridium GO! and how that's selling after the initial channel fair?
Matt Desch: Yes, it is slow. I'll have to be honest. Iridium GO! has - the customers really like it. It has been well received in the market by our partners and our customers. It seems to be an issue, I'm pleased that it is very different than a satellite phone and so it is sort of a different market segment for us so it is additive as opposed to sort of in any way competitive with what we're doing. It is a more complicated product in some way and I'd say that the experience that an end-user has with a device that is still fairly low speed as are all devices in these kind of cases right now, if their expectations are wrong then they won't be as pleased and I think when you hear Wi-Fi hotspot you immediately think you have a seamless experience with your smartphone. We've never said that's what it was, but I think we're repositioned now with our partners a little bit more so that they understand really what the value equation is, because when people do use it and have their expectation set appropriately they tell us they like it and in fact they use it a lot. They use it more than say a satellite phone would be used. So I think it is a great, great product to add to our portfolio. It is additive, but is not, love for it I think it will be a great product for us in the coming years. I think it is a great first effort. I am really looking forward to the Iridium Service version of it which will come in the coming years and I think more speed will give us a more seamless end customer experience with their smartphone which what way they want. The only other thing I'd add is one thing that kind of mitigates all that is when app developer sort of designs for the data system and that partner list is growing there, it is over 55 now I think or 55 now app developers who developed applications in the maritime, aviation, weather and other segments and those of course experiences are excellent because they've been designed into it and I think there is more and more of those come on that will also drive GO! sales.
Chris Quilty: Speaking voice sales do you expect any impact from the Inmarsat product recall that was announced recently?
Matt Desch: Yes, we're aware of that. Apparently Inmarsat has kind of had to withdraw their satellite phones from the market for some technical issue. It is too early to tell in terms of what that means to us and expecting that that will have a positive impact on us a bit, but it is hard to tell what that ipact will be right now.
Chris Quilty: And a question for Tom, the equipment margins were very strong in the quarter, obviously that’s the lack of warranty effect. Are those margins sustainable at that level or should we expect them to fall back a little bit more to the longer term trend?
Thomas Fitzpatrick: Yes right, so the answer is no, they are not sustainable. There is about a $2 million benefit. In the prior-year quarter there was a warranty expense and in fact this quarter that was there was a reversal of the reserve because their units were just not failing and so you should think about normalizing that to take that $2 million benefit out. Similarly the 60% EBITDA margin is on top of our long-term guidance for 2018 and so we don’t think about that as being sort of run rate. We think kind of the steady state where we are right now is 56, 57 really strong year-over-year at south of 300 basis points from culpable quarter last year, but you shouldn’t think about 60% as steady-state either.
Chris Quilty: And final question, Russia where do you stand in terms of building out the Gateway and just general comments on the demand environment in Russia?
Matt Desch: Well in the Gateway it's progressing. We've made, in fact I think we've installed a lot of the pedestals and thermals right now we're still waiting on some equipment in the Gateway, but there's sort of a plan that completes the Gateway late this year or early next. It really kind of depends on an awful lot of factors of course that are completely within our control, but it is moving along well now. And as far as demand I would say that continues there. I mean no certainly the effects of the ruble, we've seen that in terms of re-pricing prepaid and that sort of thing, but that is a growth market and we do still see activations and good activations out of the Russian market right now. I don’t know if you have any more color on that Tom in terms of specifics there, but it's been, it hasn’t made a real big change actually overall in terms of the trajectory, I think.
Thomas Fitzpatrick: I think you characterized…
Matt Desch: After all it is a new growth market for us.
Thomas Fitzpatrick: Yes, you characterized it right Matt. I mean our timing wasn’t great going into Russia, but that's going to be a perfect market for us and that's a perfect example of headwinds will become tailwinds and you are going to see it in Russia.
Chris Quilty: Great, thank you gentlemen.
Matt Desch: Thanks Chris.
Operator: [Operator Instructions] Our next question comes from the line of Andrew Spinola of Wells Fargo. Your line is open.
Andrew Spinola: Thanks. I was wondering if you could explain a little bit more your decision to proactively adjust the pricing for the energy customer that you have, just wondering, it would seem that your M2M product is a fairly small percentage of the cost of an energy installation. So is this a price reduction for a need to stay competitive or is this a situation where your customer is billing in local currency and paying in dollars and so their profitability has been squeezed.
Matt Desch: It's really not a currency issue. The oil and gas, you saw M2M subscriber adds were very week in the quarter. This [indiscernible] had 5000 net deactivations there. So it's an acute issue and they basically came to us and said it is going to be more than that if we cannot adjust our contact. So we had a contract with them at a certain price and they came and said give us a lower price. And as we think about market right, so we don’t price the same for every SP it is going to depend on volumes, et cetera and so we just looked at the bare circumstance and adjusted their pricing because we because thought that that in fact they would de-install given their situation. We just made a proactive decision to say we want to retain this business and most don’t want to run the risk of a cancellation, so that's just how it went.
Andrew Spinola: Got it.
Thomas Fitzpatrick: You are generally right Andrew. I mean we're a small part of the overall cost is certainly in terms of installation. But on an ongoing basis if you are out there after a period of time the communications costs essentially or the one thing that they see after an installation over a period of time and that's really what I think the pressure is right now as to when assets are going inactive or dormant and the ability to turn those things off or maybe still keep them on track where they are and keep their monitoring the value of that sort of asset to the company is going way down. And so the communication cost does become a become part of it. So I just think it a hopefully cyclical kind issue really in that sector and one in which we have to continue the term. So we do have that kind of pressure in the M2M space. But I think they are somewhat balanced by the new opportunities we're seeing in this space not just with M2M but with competitive potential takeaways and other sectors and so long term we really don’t see this change in our optimism for our machine-to-machine sector as it still has sort of a short term headwind I think near term.
Andrew Spinola: Makes sense. The reference in the press release to the power increase required by the Aireon payload is that the biggest driver of your increase, to your 2018 estimate of hosted payload revenue and how does that impact your ability to sell other hosted payload if the Aireon payload requires more power?
Matt Desch: So, Aireon is way down the path on their equipment and the usage of their equipment and they concluded that they needed more power and they contracted with us when we signed up the deal. And so we had in them and there was willingness on their part to pay. So they are going to pay us something like $40,000 a satellite which aggregates $2.8 million a year for the life of the consolation. So over 12.5 year life which is our latest estimate of what our depreciable life will be, that's $35 million of incremental value from Aireon, that is a new positive development. Similarly we signed up a new payload with Harris and that worth $15 million bucks. And so the two of them are, were up six or seven million bucks in our guidance of '18. The two of them account for a little over $4 million of that increase and the other impact is we've finalized our accounting estimate of what our depreciable life is going to be and it is going to be 12.5 years which is that's the accounting estimate, obviously we think it's going to be longer than that if history is any guide, but accounting being conservative it is going to be 12.5 years and previously we have been using a 14-year estimate for purposes of calculating how the hosted payload revenue would come in and so that gives us a $2 million ballpark. So two new significant economic value that aggregates at least $15 million are driving it and then accounting through up it drives the balance.
Thomas Fitzpatrick: The technical piece a little bit more power is a fungible thing on a satellite. As the satellite design matures actually sort of power budget somehow increases, people give up power. So we had a bit more to offer, but really it more reflects not much as a technical mounting much of the technical issue on the area payload because I think they've done a great job designing that, but that the opportunity for Aireon has sort of increased as they saw threshold uses for it. They customer base expanded around the world and the original expectations about where they would be using this service expanded at how much they really wanted to keep the receiver operating where they wanted to operate it. So it is good news on all fronts and since they needed some more power and really in some ways our contract with them was based on sort of what resources they were using on the satellite and made sense to expand that contract commensurately. It doesn't affect anything else of course the payload space is fully allocated right now. There isn't anything else in there at this point. Harris' AIS receivers are in there and they use that, but that is all this power budget was done in conjunction with knowledge about what they needed in terms of their payload. So it does not really affect anything else.
Andrew Spinola: Got it, so the $47 million is likely as high as that number is going to go is that what you are saying, the capacity is mostly sold out?
Matt Desch: That said and the $47 million represents contracted revenue, that's how you should think about that.
Thomas Fitzpatrick: Yes, I think that's absolutely correct and it is great to see it is expanding, but there isn’t more, we're too late to put anything else on our systems right now.
Andrew Spinola: Makes sense. And just last one, Tom you mentioned that 60% if the insurance is bound, I just want to, does the cash go out prior to the launch or has that already been paid for?
Matt Desch: No that is prior to the launch.
Andrew Spinola: Got it, all right, thank you very much.
Thomas Fitzpatrick: Thanks Andrew.
Operator: And I am showing no further questions in the queue at this time. I'd like to turn the call back to Iridium for closing remarks.
Ken Levy: Thank you all for spending the time with us. Look forward to following up with you and talking to you on our next quarter. Thanks a lot.